Operator: Good morning and welcome to ConAgra Foods second quarter 2010 conference call. (Operator Instructions) At this time I’d like to introduce your host for today’s program, Gary Rodkin, Chief Executive Officer, ConAgra Foods.
Gary Rodkin: Good morning. Happy Holidays. This is Gary Rodkin and I am here with John Gehring, our CFO; and Chris Klinefelter, VP of Investor Relations. Over the next few minutes, John and I will provide our views about the strategic operating and financial aspects of the quarter but before we get started, Chris will say a few words about housekeeping matters.
Chris Klinefeller : Good morning. During today’s remarks, we will make some forward-looking statements and while we are making those statements in good faith and are confident about our company’s direction, we do not have any guarantee about the results that we will achieve. So if you would like to learn more about the risks and factors that could influence and affect our business, I will refer you to the documents we filed with the SEC which include cautionary language. Also, we will be discussing some non-GAAP financial measures during the call today and the reconciliations of those measures for Regulation G compliance can be found in either the earnings press release or on our website under the financial reports and filings link, and then choosing non-GAAP reconciliations. In reference to Regulation G, I will note that our reported diluted EPS from continuing operations of $0.55 has $0.03 of net benefit from items impacting comparability as detailed in the press release, resulting in EPS of $0.52 on a comparable basis for this quarter. On that same basis, the $0.38 of diluted EPS from continuing operations reported in the prior year quarter contained $0.05 of net expense from items impacting comparability, resulting in EPS of $0.43 on a comparable basis. Now I’ll turn it back over to Gary.
Gary Rodkin : Good morning and thanks for joining us. Today I’ll recap our second quarter results and will talk about the drivers of our strong performance particularly our good top line results in market shares in consumer foods. I’ll also discuss other areas of significant progress that are giving us a great deal of confidence about our ability to keep delivering high quality growth. After that, John Gehring our CFO, will run you through a few more financial details. We’re very pleased with the numbers we turned in for the quarter but also with how we got there meaning that market shares, units, dollar sales, and brand investment all moved in the right direction to produce very high quality results in our consumer foods segment. For those of you who’ve been following us, you know that we needed to put some fundamentals in place and build greater brand strength to get to where we could deliver the results that investors will value. Those fundamentals are centered on more and better marketing, real innovation, great in store execution, and very strong cost savings efforts in our consumer foods supply chain. I’m happy to say that we’re seeing the results of our efforts and are benefitting from stronger consumer pull for our products and more tightly run operations as well as better input cost trends. We’re on a path of consistent execution and sustainable growth just as we said we’d be. Let’s get into some specifics, diluted EPS from continuing operations was $0.55 as reported and $0.52 excluding items impacting comparability, up 45% as reported and up 21% on a comparable basis. We’re pleased with EPS for the quarter and feel very positive about where we’re headed this fiscal year. In fact we’re expecting fiscal 2010 diluted EPS to now approach $1.73, ahead of the last guidance we offered. Operating profit for consumer foods increased 31%. This was the fourth consecutive quarter of profit growth in that segment. Obviously that’s really important but I’m even more pleased that we got there showing quality volume and sales growth. Consumer food sales increased 3% and volume increased 2% and that’s after absorbing the lost Slim Jim volume during the brand’s recovery period as well as pruning some underperforming SKUs. We gave you the details of those factors in the release. Our good underlying growth occurred on the back of some very strong market share and sales results among major brands, that play a key role in our growth platforms. I’ll talk about that more in a few minutes. In commercial foods sales were down driven primarily by lower pass through costs on wheat in our milling operations. But also reflecting a bit of top line softness in the Lamb Weston and Gilroy businesses. As I’m sure you know it’s a tough environment for restaurant sales but our team is holding its own. This segment showed some improvement from last year on the bottom line, driven by strong milling performance and by Lamb Weston. So let’s get into a bit more detail on the success we’re seeing from the consumer foods group. Overall brand strength continues to improve particularly our aggregate portfolio had good market share performance particularly in our most significant priority categories where we invested most of our marketing. Some of our strongest share performances were in frozen dinners, canned pasta, cooking oil, shelf stable entrees, and shelf stable desserts. All of those categories showed better than a full point of share improvement. We’re growing at our largest customer in non-measured channels but our fastest rate of growth has been in measured channels this quarter. As you know a focus area for us is the convenient meals category, an area where we have strength, where we can grow more, and an area that’s important to both retailers and consumers. Our frozen portfolio is our biggest play within convenient meals and it did especially well during the quarter with all three of our big frozen brands, Banquet, Healthy Choice, Marie Callender’s taking share, growing volume, and growing profits in the quarter. Healthy Choice isn’t our only frozen success story, we’re just as happy with the performance of Marie Callender’s. Marie is another premium brand built on taste and quality where we’re expanding into another eating occasion, lunchtime, with Pasta El Dente, and Home Style Creations. Banquet is another example of a brand that’s getting stronger based on solid fundamentals driven by our reengineering at the line. As we’ve talked before we changed the makeup of the Banquet Single Serve dinners to play even more squarely to our remarkable manufacturing efficiency in this area. We discontinued less profitable items, added new varieties, and recreated traditional favorites. Its certainly paid off with these very good results. Our convenient meals lineup also includes Chef Boyardee, a brand that also grew nicely in the second quarter with sales up double-digits and volume up almost that much, along with substantial share gains in the category. Again good velocity on the base business for Chef Boyardee was the driver for the brand. Our obviously delicious and secretly nutritious marketing campaign which let’s moms know that each serving of Chef Boyardee Beef Ravioli contains a full serving of vegetables has been very successful. How do we know, we measured perception change as well as buying patterns among our existing users and our growth target. The good news is that 80% of both groups indicated that they learned something new about the brand and both are significantly increasing their purchases of Chef Boyardee. This connection with consumers on news that’s meaningful to them really does have the power to change behavior. Another brand that posted very good success this quarter is Hunt’s, canned tomato sales and profits were up double-digits and market shares were strong. We’re enjoying success as we leverage our insights about consumer preference for the quality that we deliver using our flash steaming process. We’ve enjoyed great success with the recent Hunt’s advertising and now we’ve taken it up a level with a new campaign, the Crash Kitchen Tour which features real consumers and encourages them to swap the brand they’re using for Hunt’s. This new campaign coupled with strong merchandising with our key customers and managing to keep price points is resonating. In a nutshell we’ve seen share and velocity gains on the Hunt’s brand that demonstrates its staying power and we’ve very pleased with the results. We saw really nice growth in other important areas this quarter as well, like Orville Redenbacher’s Popcorn, Peter Pan Peanut Butter, and Snack Pack Pudding. Broad based progress like this reinforces our confidence in the long-term potential of our portfolio and we hope that you’re as excited as we are to see it taking shape. We also continue to make major progress on the cost savings front, turning in another quarter of substantial savings. You have heard us say before that we have a long runway of productivity. This is one area of the business where we’ve consistently proven our ability to execute. Productivity savings remain a cornerstone of our plans and I’m confident that will continue to be the case. With half a year behind us, we can safely say that we’ll over deliver on our savings goals. John will have more on this in a few minutes. That allows us to increase our marketing investments, which we did this quarter in the range of $24 million as well as drive meaningful profit growth for the segment. You can see that our demonstrated competence and opportunity in this area plays a key role in providing the fuel for sustainable profitable growth going forward. Consumer foods inflation is much different now than a year ago with this quarter showing slight inflation when we exclude pass through inputs like cooking oil. Second quarter input costs were lower in aggregate for consumer foods when we include pass through costs in our analysis. John will say more on this in a few minutes. Looking forward we expect low single-digit inflation for the fiscal year in consumer foods excluding the pass through items. So that means a bit of headwind but nothing like we experienced last fiscal year or the year before. Overall for consumer I’m very pleased with the quarter but more importantly very excited about the momentum and the long-term growth potential we see. John will talk in a few minutes about a few comparable items that negatively impacted sales and volumes such as SKU rationalization and the impact from our Slim Jim business. Despite those items we had good increases in net sales and volume, picked up considerable share in the marketplace, and significantly grew profits. Those gains put us in a good position for the second half of our fiscal year and beyond. In our commercial food segment we continue to post profit growth despite being in a business that’s fairly tough right now given that consumers are eating out less. To be able to continue to grow profits during the second quarter was a win in this environment and reflected a great performance from ConAgra Mills, and good work from our team at Lamb Weston. Lamb Weston, our frozen potato business grew profits but volume and sales decreased due to slower demand from restaurants. Lower demand, excess industry processing capacity, and strong crop yields across the industry combined to put pressure on the industry which effects our top line and also puts pressure on our mix. That being said I have complete faith in this business and its ability to work its way through this difficult period better than any competitor. Lower flour prices drove the overall commercial segment sales decline. Lower wheat costs mean lower selling prices. That’s not a sign of weaker milling business, its just what happens in a commodity operation when large fluctuations in input costs get passed on to customers in terms of changed prices. The underlying milling business is performing remarkably well on all fronts from sales execution to efficiencies in the mills to very smart sourcing of our wheat. In the rest of the segment we also faced some headwinds in dehydrated products, seasonings, and blends. That business has some challenges but the overall impact on the segment is fairly small. Given a slower pace of the recovery of the food service sector we continue to expect some year over year profit declines for this segment in the back half of the year. Flour milling will face some difficult comparisons in the second half. Also we expect the decline at Lamb Weston in our fiscal fourth quarter as we incur the negative impact of some cost process changes we implemented this fiscal year. To echo what we put in the supporting Q&A document for this release, those changes benefited the first half by about $0.02 per share, and they will reverse by that amount in the back half largely in the fourth quarter netting to no material impact on a full year basis. Taking all this into consideration we expect full year segment results to be about flat with last year. I’m confident in the future of the commercial business and am pleased with that we’ve been able to hold our own in this segment despite the tough economic environment. Regarding our full year plans together for the total company, we of course have to take into account the economic conditions that continue to weigh on consumers, the intense customer and comparative environments and the fact that inflation won’t always be as tame as it has been recently. Having said that given our strong performance to date, and our growth prospects for the consumer food segment, as well as our excellent management of the commercial operations in a tough environment, we’re confident in our ability to deliver a strong fiscal year that meets our new guidance of EPS approaching $1.73 excluding items impacting comparability. I know John will make this point so I won’t dwell on it much, but the upwardly revised $1.73 is even stronger than it appears. Yes we’ve essentially flowed through all of the over delivery so far this year, but that’s not all there is to it. While we expect to receive significant business interruption proceeds in fiscal 2010 relating to the Slim Jim plant accident, we now expect to recognize that recovery in our income in fiscal 2011 instead of 2010. Fiscal 2011 is when we expect the final settlement of the claim, so the fact that we can take this year’s EPS up despite the delay in recording the business interruption insurance really speaks to the strength of our business. Thanks for joining us today, and now I’ll turn the call over to John for a more detailed financial perspective.
John Gehring : Thank you Gary, and good morning everyone. I’m going to touch on four topics this morning. First our second quarter performance highlights, next I’ll address comparability matters, then onto cash flow, capital and balance sheet items, and finally some brief comments on our outlook. With respect to our second quarter performance as Gary noted we posted another strong quarter. We reported fully diluted earnings per share from continuing operations of $0.55 versus $0.38 in the prior year. Excluding items impacting comparability fully diluted earnings per share from continuing operations were $0.52, an increase of 21% over the prior year. Segment operating margins showed continued improvement. The operating margin improvement was led by a strong performance in the consumer foods business which increased its operating profit margin by 350 basis points over the prior year. This consumer foods performance reflects a more favorable input cost environment and strong productivity savings as well as good sales results. Let me touch on a few other operating highlights for the quarter, first as we noted the consumer foods business turned in a very good quarter. This represents the fourth consecutive quarter of year over year performance improvement. We are executing well and consistently on the fundamentals that drive sustainable, profitable growth. These fundamentals include successful innovation, better marketing and merchandising, sales execution through strong customer partnerships, and strong supply chain capabilities. And the benefit of this execution is showing up in our consistent delivery of good financial results. Inflation for our consumer foods business continues to trend favorably, slightly better than our expectations. Overall in the second quarter we had net deflation in the low single-digits, however the net deflation was driven in large part by favorability related to vegetable oil costs, a large portion of which gets passed through on our product pricing for related products such as Wesson Oil. Excluding materials related to pass through categories, our costs were essentially flat. For the full year we expect costs to be approximately flat as we still face some challenges with certain inputs such as tomatoes, proteins, and steel. However overall the inflation trends are manageable. Our consumer foods supply chain cost reduction efforts continue to yield good results delivering approximately $90 million in the quarter. Our consumer foods supply chain team continues to execute against a long runway of cost reduction opportunities. Taking into account the first half of cost savings performance we currently estimate that cost savings will be in the range of $300 million for the full year. While a portion of these incremental savings drives earnings improvement, a portion also offsets surgical pricing adjustments and provides fuel for accelerating investments in marketing and innovation. Based on goods cost savings performance over the past several quarters, and a significant pipeline of opportunities, we remain confident in the ability of our supply chain team to continue its consistent delivery of cost savings. Consumer foods advertising and promotion expense for the quarter was up $24 million, more than 25% as we continue our commitment to invest selectively and in an impactful way behind our key brands. For this quarter foreign exchange impacts on consumer foods net sales and operating profit were immaterial. Turning now to our commercial foods segment, these businesses continue to compete very effectively in a challenging food service environment turning in a slight increase in operating profit. The food service industry has been challenged over the past four quarters and we expect this recovery to be slow given the broader economic challenges including high unemployment. We are confident in the ability of our commercial foods management teams to continue to navigate this environment well. On selling, general and administrative expenses, our core SG&A which excludes items such as advertising and promotion, incentives, commissions, and royalties, is tracking very close to our zero overhead growth or ZOG goal. We continue to focus on cost control and challenge our team to meet our annual goal of zero overhead growth. Now I’ll move onto my second topic, items impacting comparability. First on hedging, in the second quarter we had approximately $6 million of net hedging benefits in corporate expense or approximately $0.01 per diluted share which we treat as a comparability item. Secondly, our income tax rate for the quarter reflects approximately $0.02 of benefit from our lower than normal tax rate. These benefits arose from adjustments to foreign tax credits and deductions related to prior years. Now let me turn to cash flow, capital, and balance sheet items for the quarter. First on cash flow, in addition to our improved earnings performance we are also demonstrating improved cash flows driven by earnings and working capital improvements. In fact our cash flow from operating activities will be approximately $650 million for the first half of the year, our strongest first half performance in some time. And we closed the quarter with nearly $500 million of cash and no outstanding commercial paper borrowings. We continue to make good progress on a comprehensive set of working capital initiatives designed to drive improvement over the next several years. Based on our progress to date, we know expect that working capital improvements will generate in the range of $200 million of incremental cash flow from continuing operations for the full year. In addition we now expect cash flow from operating activities to exceed $1.2 billion for the full year. Details on cash flows will be provided in our Form 10-Q. Next on capital expenditures, for the quarter we had capital expenditures of $123 million versus $115 million in the prior year. Consistent with my comments last quarter, we expect CapEx for fiscal 2010 to be in the range of $600 million. This amount includes two significant incremental investments. The first is capital related to our Slim Jim recovery which will be substantially funded by insurance proceeds. These capital requirements are currently estimated at approximately $35 million. The second incremental investment is approximately $90 million relating to our new sweet potato plant which will be partially funded by approximately $35 million related to current year tax incentives. Net interest expense was $41 million in the second quarter versus $43 million in the prior year. Interest income from the notes receivable associated with the sale of our trading and merchandising operations was approximately $20 million in the current quarter and $18 million in the year ago period. We remain very comfortable with the collectability of these notes. Dividends for the quarter totaled $84 million versus $86 million last year. The decrease reflects fewer shares outstanding. And finally I’d like to share a few comments on our fiscal 2010 outlook. As Gary mentioned, we have raised our full year earnings estimate, we now expect our fiscal 2010 fully diluted earnings per share from continuing operations excluding items impacting comparability to approach $1.73. To clarify an item that may be obscured because of rounding, we started the year assuming fully diluted earnings per share from continuing operations in the range of $1.63 to $1.66 per share. And based roughly on a $0.09 over delivery in the first half, we have raised our guidance to earnings per share approaching $1.73, thus essentially passing along all of our over delivery to this year’s outlook. This new guidance also reflects and updated view as to when we expect to recognize the income from business interruption insurance related to our Slim Jim business. First let me emphasize that the insurance claim process is proceeding very well and to date we have received in excess of $50 million of proceeds related to our property and business interruption insurance claims. However, given the complexity of the claim and the duration of the business interruption loss period and based on additional analysis of the claim process, we now expect the final settlement of the insurance claim to be delayed until fiscal 2011. At that point we will recognize the business interruption recovery and other gains in income and will treat them as items impacting comparability. So while our guidance from the first quarter had assumed approximately $0.05 of income from business interruption insurance recoveries in fiscal 2010, our current updated guidance does not include this approximately $0.05 of income from business interruption insurance. Overall we think this updated estimate reflects the momentum in our business as well as our plans to continue to invest in, and execute on the strategic drivers of long-term success; innovation, marketing, sales execution, and supply chain efficiency. That concludes our formal remarks. I want to thank you for your interest in ConAgra Foods. Gary and I along with Andre Hawaux and Robert Sharpe will be happy to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of Bryan Spillane - Bank of America/Merrill Lynch
Bryan Spillane - Bank of America/Merrill Lynch: If you could talk about maybe since you’ve closed your quarter the competitive dynamics within frozen food and maybe also just more broadly within your consumer foods businesses. One of your competitors talked a bit about price competition and just competition heating up in general in frozen food, if you could just give us your perspective on what’s happened there and what you’re seeing in the market today.
Gary Rodkin : I just want to make really clear right up front what’s driving the growth in the frozen foods really is about the fundamental changes that we’ve made to the business and that’s really about the innovation in the marketing. There really is not a deep discounting [renting] volume with irrational prices or unsustainable promotions. It truly is that at all and just to put some facts to it, over the last four, 12 and 52-week periods, Healthy Choice has had the highest average price per unit at retail of any directly competitive offering which means consumers keep coming back for the food. Certainly our pricing is competitive but what’s really driving our sales volume and market share is the strong consumer pull, both on the base business and on the new items.
Andre Hawaux : I would say its pretty consistent with what we’re seeing in the marketplace. We haven’t seen, other than what you may have seen, if you looked at the 13 weeks, the last four week period for us was a little softer and that really talks to the timing of promotional events that we had which we in our quarter much more front loaded and that will happen. That’s why we really stayed focused on the quarter versus the four-week data, but exactly what Gary talked about.
Operator: Your next question comes from the line of David Palmer - UBS Securities
David Palmer - UBS Securities : Question on your comment on non measured channels sales growth being lower than measured and you noted that you still had growth in your largest non measured chains, but do you expect the underperformance in the non measured channels to continue in future quarters and of course any detail on this would be helpful, perhaps there’s a category or two we’re you’re seeing the share loss maybe that’s related to discontinuance of certain things and really the focus here is will it continue in future quarters.
Andre Hawaux : Let me take that, so in the non-measured channels the areas where we were hurt the most were as follows. One is in the convenience channel and that’s really largely driven by Slim Jim and that’s all that that was in that channel. And second is we’ve been proactive in the food service space and have actually discontinued a lot of SKUs as we prune that business to better reflect the simplicity we want to put through our supply chain and those kind of things. So I’d say in terms of continuing the last several weeks we’ve been up to about a 95% service level in C store business with Slim Jim, so that will actually get better as we go into the calendar year so we don’t foresee that becoming a problem for us. In food service we still have a little bit more work to do. So I’d say that’s probably the only thing that potentially will continue but we also see the bulk of that heavy load that we’ve done there already through the system. We have some, little bit more work to do in food service.
David Palmer - UBS Securities : Broadly speaking are you expecting a very significant slowdown in volume trends over the next couple of quarters in the consumer foods area.
Andre Hawaux : Absolutely not, the way our plans are built we see ourselves with growth in the back half of the year. I would caution the listeners though to remind themselves that we have 53 week last year so in terms of what will happen in Q4, they’ll be some comparability issue there, but on like to like we see growth in our consumer foods business in both unit and dollars.
Operator: Your next question comes from the line of David Driscoll - Citigroup
David Driscoll - Citigroup : Congratulations on the quarter, first thing I wanted to do was make sure I understand what you’re talking about on the guidance so effectively the way to look at this in comparison to last quarter’s guidance is really the number is $1.78 and then you had to take $0.05 out because you’re not going to recognize the business interruption insurance, I think I have that right. Stop me if I don’t. The second part of the same question though would simply be that next year in F11, the $0.05 will kind of “reappear” because Slim Jim will be operating back at 100% so the first fiscal quarter and the second fiscal quarter of F11 we’ll see the number come through on the operations side, is that correct.
John Gehring : First of all your first analysis, we would concur with. The $1.73 assumes now we’re not going to get that recovery. Just to be clear the recovery when its recorded in the first quarter of fiscal 2011 we will call that out as a comparability item when we are able to book the income but you will then also see a base business next year that is back up to more normalized levels and therefore will be lapping the essentially the divot we had in earnings this year because of not being in the marketplace.
Gary Rodkin : I would say you’re essentially on target.
David Driscoll - Citigroup : Great performance, the second question is just simply on marketing, I think you said marketing was up 25% for the quarter, that’s an enormous number, can you put this in perspective of what you expect the full year marketing budget to be up.
John Gehring : I don’t know that we want to get into specifics of exactly percentages but we will be up year over year on a comparable basis with our marketing spend for the total year.
Operator: Your next question comes from the line of Terry Bivens - JPMorgan
Terry Bivens - JPMorgan: Congrats on another good quarter, quick question for you on SKU rationalization, you mentioned that there’s probably a little more to come in food service unless I’m reading into your comment there earlier, thinking about the consumer food side and the retail environment this period of accelerated SKU rationalization both for you and for the industry at large, what inning do you think we are in that and should we expect any more meaningful pruning.
Andre Hawaux : I would tell you that the impact has really been immaterial for us because we’ve been extremely proactive, in other words, out in front of the customers push. We’ve had a program called active SKU management and that has worked extremely well for us. That has helped us from a productivity standpoint as you can imagine, longer production runs, less inventory. If you were out of stocks, simple choice for the consumer. And net net there’s some wins for us in some customers. There’s a bit of SKU rationalization in others but net net basically immaterial.
John Gehring : The only thing I would add on that is our SKU rat that we’ve called out is principally based upon our food service SKUs that aren’t profitable, not really driven by the customer programs you’re hearing about.
Terry Bivens - JPMorgan: Kind of a broader industry wide question, with the outlook for input costs going to once again, pointing up, when do you think the industry will once again be able to pull the pricing levers and offset either through wholesale increases or dialing back of trade spend.
Gary Rodkin : I think our pricing architecture and our analytics are so much better now on a real time basis. Andre’s team is all over it and I am confident that between our productivity and our knowledge of what we need to do at the shelf from a price gapping standpoint that we will be all over it. But we still continue to believe that inflation will be pretty tame as compared to what it was the last several years.
Operator: Your next question comes from the line of Vincent Andrews - Morgan Stanley
Vincent Andrews - Morgan Stanley : I guess a question on the frozen competitive environment, what exactly is baked into your guidance from a promotional spending or from a competitive expectation, what has to happen in order for that to impact your guidance.
Andre Hawaux : What has to happen is a continuation of what we’ve seen so far, certainly what we’ve seen over the last 26 weeks, and that’s that we’ll be rational in terms of what we do in they marketplace. We’ll continue to lead with our marketing and our innovation that we’ve brought to bear in the category. Nothing outlandish for us to be able to deliver our algorithm.
Gary Rodkin : We believe we’ve got the right competitive context built into our planning and into our merchandising plans so no change to our guidance.
Vincent Andrews - Morgan Stanley : So basically no step up from here is kind of what’s baked in right now.
Gary Rodkin : We don’t believe that that will be the direction that we need to go.
Operator: Your next question comes from the line of Eric Katzman - Deutsche Bank Securities
Eric Katzman - Deutsche Bank Securities : Happy holidays, two questions, I guess first one on consumer, I think you said that your advertising and promotional budget was up 25 or 24% so that means that you’re running I guess at around a $450 million annual rate and that’s I guess I’m trying to understand one is, is that advertising and below the line promotion or is that advertising plus the promo between gross and net sales. Can you define that a little bit more and did promotion impact your top line this quarter one way or the other in the consumer business.
Chris Klinefeller : The statistics we cited were that we increased it by about $24 million which was slightly north of 25%. And its not necessarily smooth across every quarter so the number you’re citing on a full year basis, the $450 is slightly high. As far as what we’re talking about, we’re talking about things that are within the income statement, below the gross profit lines. We’re not talking about trade spending.
Andre Hawaux : Yes, its not about discounting.
Eric Katzman - Deutsche Bank Securities : So if you’re running let’s say 5.5% to 6% of consumer sales annualized, that’s a pretty good level.
Gary Rodkin : We believe we’re at a good level that importantly the effectiveness, the impact of the dollars, is significantly greater than it used to be from a productivity standpoint so we’re confident that we’re able to spend against the priority brands in a way that’s meaningful.
Andre Hawaux : And as Gary said in his prepared remarks you also noticed that we also launched a very big campaign in our meal enhancer categories around Hunt’s in the crash kitchen tour. We had a nice programming with Ro*Tel and also with Manwich in that platform so we had a lot of new campaigns out that we launched which is really resonating with consumers and we feel good and what’s leading to our volume growth.
Eric Katzman - Deutsche Bank Securities : And then just on the commercial side, it sounds like things have gotten a bit tougher. I know the business or that division overall has done very well the last few years. You’ve kind of signaled that its going to be a bit tougher but I was kind of surprised that you mentioned I guess that there was some excess capacity in the system and that was creating price based competition and then at the same time you’re adding capacity in frozen potatoes. So how do we think about that going forward.
Robert Sharpe : Let me try again and address that, first of all when you’re talking about the sweet potato plant in Delhi, we don’t really do that as adding core capacity to the industry. It really is a different product and we know that when it gets in store, its not a swap out for a French fry, it actually drives incremental total fried potato sales for an operator. So its really on top of everything else and obviously why we put it in Louisiana is to put it right next to the raw supply which is part of the hallmark of what makes Lamb Weston so efficient on the conventional potato side. The industry’s capacity tends to flow back and forth between domestic and international markets. The international markets have strengthened a bit, the domestic markets are as you know tough in the restaurant industry. And so I don’t think its, we aren’t talking about a situation where there’s dramatic over capacity at all involved. So I don’t see it as impacting the hallmark of this industry which has generally been that the capacity and its been, pretty stays in tune with demand.
Gary Rodkin : One last point on that, you certainly know traffic is down in restaurants at quick serves. QSR’s are the least impacted and that’s where we have the bulk of our business.
Operator: Your next question comes from the line of Andrew Lazar - Barclays Capital
Andrew Lazar - Barclays Capital : Two questions, one a little bit more from an industry perspective, we’ve all seen some of the industry data points particularly around volume over the course of the last quarter and obviously the largest [inaudible] been bucking that trend as we’ve heard from the results this morning. Trying to get a sense first off what you think is leading to some of this overall industry volume weakness particularly because we’re lapping a quarter last year when the whole industry went through some pretty big inventory reductions and such and as part of that has ConAgra seen any change in its top line trends, maybe more recently that make you think, hey bucking that trend is going to be tougher going forward or not.
Gary Rodkin : I believe that we are seeing things bottoming out. We still see inventory being tight at the customers clearly. And consumers as well. So people are buying more when they need it versus stocking up in a bigger way like they may be used to. But we are not seeing anything in terms of more degradation. We believe that the eating at home will continue to be a trend. And that marketing innovation and smart merchandising will continue to drive volume. So we see a continuation of basically the current environment for awhile.
Andre Hawaux : I’m not sure if Gary’s left me with anything else to say on that. I think we feel very good about the plans we have for the back half of the year. Again like everybody else we are concerned about the overall the consumers’ health and what’s going in the broader economy but we see our business in the back half of the year fairly robust. So we feel good about that.
Gary Rodkin : One last point on that, value is here to stay. We believe that and we believe that our portfolio is well set from a value standpoint and at the same time we are also proving that strong marketing and good innovation can drive equity. So we believe that one-two punch will continue.
Andrew Lazar - Barclays Capital : And then around value or consumer that even seems more focused today on not just value but really on price point, on opening price point, is there an example or two perhaps that you’ve taken in your portfolio where it makes sense, a price point that really has hit with the consumer and has led, a brand that may be wouldn’t have as much to go on otherwise but has made it a lot more relevant.
Andre Hawaux : That last part of your question probably throws my answer into a little bit of a flux. I believe and we’ve talked about this before that our Banquet product is an opening price point in frozen, it’s a very relevant brand to a lot of our customers and obviously to consumers. So we believe that the work we’ve done there on frozen transformation and specifically the Banquet transformation has really helped that business and its become more and more relevant in this economy as value takes hold. And it does provide the consumer with a very good meal and its that magic dollar price point that we strive to hit with that product and we’ve done really well with that. And I don’t think it has anything to do with, the brand doesn’t have anything else to bring forward as well. I think that would be one brand that we would certainly highlight in our portfolio.
Operator: Your next question comes from the line of Chris Growe - Stifel Nicolaus
Chris Growe - Stifel Nicolaus : Happy holidays, I just had one question, a bit of a follow-up but I wanted to ask about your product mix in the quarter in the consumer foods business, and when you talk about brands like Hunt’s growing pretty strongly, I’m just curious how did mix perform. Would that have been a mix degradation both from a sales and profit standpoint for consumer foods.
Andre Hawaux : Actually it was slightly positive for us. Our mix helped us in the quarter.
Chris Growe - Stifel Nicolaus : And then in terms of your FX effect on the business, I know its very small but it was a little bigger than I thought last quarter and [inaudible] this quarter, should that be positive going forward, anything meaningful to call out there on the FX side.
John Gehring : I don’t think there’s anything meaningful to call out there. I think it will be fairly muted.
Chris Growe - Stifel Nicolaus : And then on corporate expense, SG&A was up quite a bit this quarter, is that all just compensation accruals, is that how we look at it.
John Gehring : The lion’s share of the increase is attributable to incentives.
Operator: Your next question comes from the line of Robert Moskow – Credit Suisse
Robert Moskow – Credit Suisse : I thought it was a great quarter and I guess I’m just scratching my head on why the stock isn’t up more, can you remind us about your share repurchase program. You’re generating a lot of cash this year, I can see a scenario where its strong again in fiscal 2011, can you talk a little bit about how big it is and your priorities for your cash.
John Gehring : Let me start with our priorities, first of all I think as we’ve commented before we are committed to a healthy dividend. As we accumulate cash I think we will continue to evaluate various investment opportunities and that would include acquisitions that fit and have strong financial returns. We’ll also look at internal growth opportunities such as the sweet potato facility and while we do not currently have a share buyback authorization we will continue to evaluate share buyback as an element of our cash utilization strategy. I think as we previously noted we are committed to a strong investment grade credit rating and will remain focused on strengthening our balance sheet and maintaining that strong liquidity in this environment. So we’re going to continue to evaluate share buyback as an option.
Robert Moskow – Credit Suisse : I think that you’re probably going to get this question from some other investors in the months ahead, so maybe you could give us a little bit of an insight on what are the other projects internally that you think are, that would stand out as high return projects that you think that you could invest in and then if you make acquisitions, what areas of the, what categories do you think you would want to go into.
Chris Klinefeller : As far as identifying individual projects, we really don’t go that level of detail. You’ve heard us talk about the sweet potato opportunity, that’s about the extent of what we’d like to discuss as far as that goes. But we do have a robust set of options and look at them rigorously. As far as giving categories that’s generally, we generally don’t comment on that level of detail. As John mentioned they’ve got to have a strategic fit and a strong financial hurdle, that’s about all we’re comfortable saying.
Robert Moskow – Credit Suisse : I guess the reason I asked it that way is if people took a step back and looked at ConAgra people don’t think of it as a company that has a ton of huge reinvestment opportunities. But it does generate a lot of cash and [inaudible] cash used for share repurchase that it would be, it might help you in the eyes of investors. That’s more of a [inaudible] piece there so, thank you.
Gary Rodkin : I think that we’ve got our strategic platforms, convenient meals clearly is one of them near the top as well as potatoes. We’ve invested significantly against innovation in the robust pipeline that we see clearly offers more opportunities. As we said again, the growth platform on the incrementality of sweet potato so we do believe we’ve got a pretty broad array of opportunities and we’re hopefully going to be able to take advantage of those.
Operator: Your next question comes from the line of Alexia Howard - Sanford C. Bernstein
Alexia Howard - Sanford C. Bernstein : So just a question on the outlook for sales growth in the commercial segment, I know you’ve given us guidance on operating profits in the second half, but there was a lot of volatility in the pricing growth and the volume growth last year and it really flips around between the second and third quarter of fiscal 2009, as we look out into the second half of this year, are we likely to see a slowdown in the volume growth over the second half but maybe a moderation in the price declines. Is that the right way to think about it.
Robert Sharpe : I think that’s probably right. I think year over year you’re kind of looking at volume in the flattish range, maybe down a bit. But you’re right as, for example in this quarter mills represented more than $100 million of sales decline simply from the impact of wheat prices. So that impact will lessen a bit in the third quarter and will lessen a bit more in the fourth quarter. But you’ll still see shortfalls at the top line in both the third and the fourth quarter, just not quite as pronounced as what you saw in the first two quarters.
Operator: Your next question comes from the line of Eric Serotta – Consumer Edge Research
Eric Serotta – Consumer Edge Research : Happy holidays, two areas of questions here, first regarding the promo spending in the quarter it looks like your price mix in the quarter was up somewhere in the range of about 1% or so, I know that you’re lapping the big price increases from last year, but in the past you’ve also talked about how you, being a little bit late on the price increases that you may be overcompensated and were course correcting as you went forward. So I guess my question is, was your trade promo materially up this quarter and what does the base or list pricing look like in rough terms before the trade promo.
Andre Hawaux : So again the benefit between the 2% to 3% that you mentioned was largely driven by mix. We did not have a significant ramp up in our trade spending this quarter versus last quarter. I think that’s the bulk of your question. And our list prices, we’re discounting off of higher list prices obviously which we had taken off last year so on a percentage basis that looks a little distorted but for the most part we did not see significant trade spending increases in this particular quarter.
Eric Serotta – Consumer Edge Research : And shifting gears a bit, you are in a relatively unique situation or have some unique perspectives having, relative to some of your peers, having a large or a sizable private label business in addition to your branded business, I wondering whether you could give us some perspective as to what you’re seeing in terms of the relative performance of the private label versus the branded and what the retailer response or retailer interest is in the two areas.
Gary Rodkin : We’re growing well on both sides of it. In our private label business the places where we are really strategic, where we don’t have a branded presence like in our snack bars in particular, is quite strong and continues to be. But the branded side of our business is very strong as well. I would tell you overall as an industry, clearly there’s going to continue to be a place for private label particularly in this environment. But the growth overall in the private label industry has slowed at the price gaps between branded and private label have narrowed a bit and we continue to believe that the power of brands to drive retailer traffic and consumers wanting choice and innovation will continue to make that the top priority for us.
Eric Serotta – Consumer Edge Research : And then in terms of your strategy of your broader strategy of having this sizable private label business, is it, could you talk about the rationale behind that. Is it base loading the plants, is it seeing the faster growth in private label versus branded over the next few years, and how do you balance that against effectively competing against yourself in some categories.
Gary Rodkin : Yes, its really two sided. Offensively its places where we don’t play from a branded standpoint like the private label bars, granola bars, etc. fruit snacks. That’s the priority but the other side of it is where we defensively flank our high market share positions like a cooking spray or a whip topping, an egg beater, a Chef Boyardee, that’s where we basically use a strategy of power of two to give the branded product and the store brand.
Operator: Your final question is a follow-up from the line of David Driscoll - Citigroup
David Driscoll - Citigroup : I just wanted to ask you a little bit more, in the branded food business are you, do you estimate that you are holding or gaining total distribution. I’m curious about this because in the past we’ve had so much conversation about your “managed for cash” brands I wanted to get your sense for the health of the overall business and then maybe you can make a comment on the managed for cash as well.
Andre Hawaux : Overall we’re seeing in all of our strategic pillars, we are seeing increases in our points of distribution and I’d say the lion’s share of that or the strength has been in our convenient meal platform both shelf stable and frozen. With respect to our specialty businesses, our specialty pillar, which is where some of the managed for cash brands that you alluded to sit and reside, we’ve actually done very well in holding our own. Given the brands that we have in that portfolio there has not been a ton of innovation there, and I would also say that those businesses have been very strong, some of the markets there are high share businesses for us and we’ve held our own. We’ve not seen ourselves lose points of distribution there. But we probably have gained the fewest in that space.
David Driscoll - Citigroup : And can you give us any sense for new product activity upcoming.
Andre Hawaux : Yes, we’ve got some really neat things that I’m not going to necessarily share with you right now, but I think you’ll see it on your supermarket shelves soon largely led by our convenient meal platform. We’ve got some interesting things we’re doing with snacks as well. So they’ll be in the marketplace later on in the third quarter.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Chris Klinefeller : This concludes our conference call and just as a reminder this conference call is being recorded and will be archived on the web as detailed in our new release. As always we are available for discussions. Thank you very much and Happy Holidays from ConAgra Foods.